Operator: Ladies and gentlemen, thank you for standing by and welcome to the AGCO 2021 Third Quarter Earnings Release Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation there will be a question-and-answer session [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator Instructions] I would now like to hand the conference over to Greg Peterson, Vice President, Investor Relations. Thank you. Please go ahead.
Greg Peterson: Thanks, Shelby, and good morning. Welcome to all of you that are joining us for AGCO's third quarter 2021 earnings call. This morning, we're going to refer to a slide presentation that you can find posted on our website at www.agcocorp.com. The non-GAAP measures that we will be using in the presentation are reconciled to GAAP metrics in the appendix of that presentation. This morning, we'll also make forward-looking statements, including demand, product development and capital expenditure plans, production levels, engineering expense, exchange rate impacts, pricing, share repurchases, dividend, and future commodity prices, as well as crop production, our supply chain inflation, retail, revenue, margins, earnings, cash flow, tax rates and other financial metrics. We do wish to caution you that these statements are predictions and that actual events may differ materially. We refer you to the periodic reports that we file from time to time with the Securities and Exchange Commission, including the company's Form 10-K for the year ended December 31, 2020. These documents discuss important factors that could cause the actual results to differ materially from those contained in our forward-looking statements. These factors include, but are not limited to, adverse developments in the agricultural industry, including those resulting from COVID-19, which might include plant closings, workforce availability and product demand. It also includes supply chain disruptions, weather, exchange rate volatility, commodity prices and changes in product demand. We disclaim any obligation to update any forward-looking statements, except as required by law. A replay of this call will be available on our corporate website later today. On the call with me this morning are Eric Hansotia, our Chairman, President and Chief Executive Officer, and Andy Beck, our Chief Financial Officer. And, with that Eric, please go ahead.
Eric Hansotia: Thank you, Greg, and good morning. We appreciate everyone joining us on the call today. Our third quarter results were highlighted by sales growth and earnings improvement against the backdrop of a very challenging supply chain environment. We continue to experience significant component shortages that are impacting our production volumes. These supply chain disruptions have intensified in recent weeks, and we have reduced our fourth quarter revenue and earnings statement to reflect our revised production plans. In addition, material and freight costs inflation is increasing, requiring additional pricing to offset its impact. The encouraging news is that despite the global supply chain bottlenecks and inflationary pressures, farmer economics are very, very healthy, and global end market demand remained strong. I would like to strongly recognize and appreciate the entire global AGCO team for their tireless and dedicated work to mitigate these challenging conditions, serve our customers and maximize our full year results, which will feature strong margin and earnings improvement. Let's start on Slide 3, where you can see that net sales grew 9% compared to the third quarter of 2020. Adjusted operating income increased nearly 13%, while margins improved about 30 basis points. Our investments in smart farming, precision ag and digital solutions are paying off, as we're seeing excellent demand for technology-rich tractors, our precision planting solutions, and replacement parts. AGCO's precision ag sales are up over 33% so far this year, with strong growth for both our precision planting business, as well as our Fuse suite of products. Our healthy balance sheet supports our technology related investments, as well as cash returns to our shareholders. Slide 4 details industry unit retail sales by region for the first nine months of 2021. The financial health of our farmer customers remained strong. Global crop production in 2021 looks to be very good, and agricultural commodity prices continue to support favorable farm income, resulting in increased demand for machinery. These improved conditions are expected to generate industry growth across all the major equipment markets in 2021. In North America, industry retail tractor sales increased about 17% in the first nine months of 2021, compared to the same period in 2020, with industry retail sales of large ag equipment growing by approximately 28%. Real crop farmers are taking advantage of improved commodity prices and projected healthy income levels to upgrade their equipment. Industry retail sales in Western Europe also increased in the first nine months of 2021 versus supply constrained levels a year ago. With growth across all major markets, higher wheat, dairy and livestock prices combined with healthy levels of crop production are generating positive farmer economics and farmer sentiment in the region. In South America, industry sales increased strongly during the first nine months of 2021, driven by improved demand in Brazil, as well as recovery in the smaller export markets. Healthy crop production as well as favorable exchange rates are supporting positive economic conditions for farmers, who continue to replace an age fleet. AGCO's 2021 factory production hours are shown on Slide 5. As I mentioned, AGCO continues to face unprecedented supply chain and logistics challenges, as well as material and freight cost inflation. Supply chain constraints have intensified in the recent weeks, limiting our ability to increase our production to match the strong end market demand. The scarcity of parts has impacted the company's ability to produce and ship units, and contributed to labor inefficiencies as well as higher than anticipated raw material and work in process inventory levels. While we expect to reduce our inventories before the end of the year from our current situation, the volatile supply chain environment is requiring us to carry more inventory. Total company production was up approximately 14% for the third quarter versus a very high rate of production in the third quarter of 2020. The largest increases we're seeing in our North and South American factories. Overall, we're projecting a 20% to 25% increase in full year 2021 production compared to last year. You'll remember that production ramped up significantly in the back-half of 2020. So our growth in the second-half of 2021 will not be as large as what we've experienced in the first half of this year. Turning our attention to AGCO's order board, as of the end of September, our order board for tractors and combines was significantly higher in North America, Europe and South America compared to a year ago. I'll now hand over the call to Andy Beck, who will provide you more information about our third quarter results.
Andy Beck: Thanks, Eric, and good morning, everyone. I'll start on Slide six, which looks at AGCO's regional net sales performance for the third quarter and first nine months to 2021. AGCO's net sales were up about 8%, compared to an extremely strong third quarter of 2020, excluding the positive impacts of currency translation. Robust end market demand, particularly in South America, as well as favorable pricing drove the increase. The Europe, Middle East segment reported increase in net sales of approximately 3%, excluding the impact of currency translation, compared to the high level of sales in the third quarter of the prior year, which benefited from the catch up deliveries of equipment following the factory shutdowns in the second quarter of 2020. Largest increases occurred in Italy, Turkey, and the UK, which offset lower sales in Germany and France. Net sales in North America increased approximately 9%, excluding favorable impact of currency translation. Compared to the levels experienced in the third quarter of 2020, increased sales of precision planting products and midsize tractors produced most of the increase. AGCO's third quarter net sales in South America grew 37% compared to the third quarter of 2020, excluding currency impacts. Sales were up strongly across all of the South American markets. High horsepower midsize tractors and grain and protein equipment showed the most increases. Net sales in our Asia Pacific, Africa segment decreased about 2% compared to the level of sales in the third quarter of 2020 on a constant currency basis. Lower sales in China and Australia were nearly offset by improved sales in Africa. Consolidated replacement parts sales were approximately $443 million for the third quarter of 2020, compared to $391 million for the third quarter of 2020. On Slide 7, we examine AGCO's sales and margin performance. AGCO's adjusted operating margins improved approximately 30 basis points in the third quarter of 2021, compared to the same period in 2020. Margins were supported primarily by higher sale levels in net sales and production. Our third quarter price increase of approximately 6% was able to offset the significant material and freight cost inflation, that Eric discussed. For the remainder of the year, we expect material cost inflation to accelerate and for net pricing to be approximately breakeven. The Europe Middle East segment reported an increase of approximately $5 million in operating income compared to third quarter 2020, resulting primarily from higher net sales and production partially offset by higher engineering expenses. North America operating income decreased approximately $23 million, as increased pressure from material inflation resulted in lower gross margins, particularly in the steel intensive grain storage business. A weaker sales mix also contributed to the lower operating income. Operating margins in our South America region reached 11.6% in the third quarter, and operating income improved nearly $28 million from the same period in 2020. Significant increases in end market demand, and a healthy sales mix supported the growth. In our Asia Pacific segment, operating margins expanded to 11.9% in the third quarter, reflecting an improved sales mix. Slide 8, details grain and protein sales by region and product. Sales increased by about 20% in the first nine months of 2021 compared to 2020. Globally, grain equipment sales increased approximately 24% with our South America and European regions showing the largest increases. Protein production sales grew approximately 16% in 2021, with the strongest growth in the Asia Pacific, Africa and South American regions. Grain equipment demand has been stronger supported by improved grain prices and profitability of farms, however demand has been muted by significant price increases by manufacturers to cover surging steel costs. The protein production equipment market remains challenged due to labor issues and higher input costs, such as grain. Protein prices are improved, so profitability is recovering. We're expecting a recovery in the grain and protein sales in 2021 for the full year, following weak sales in 2020, which were heavily impacted by the pandemic. Slide 9 addresses AGCO's free cash flow for the first nine months of 2020 and ‘21, which represented cash used in operating activities less capital expenditures. Additional working capital requirements this year related to higher inventory levels resulted in lower free cash flow for the first nine months of 2021 versus the same period last year. We expect our year-end raw material work in process inventory to remain elevated to help us manage through the difficult supply chain environment. We have adjusted our full year free cash flow forecast to reflect an additional $200 million of working capital requirements due to increased inventory levels. AGCO's capital allocation priorities include investments in our precision ag offerings and digital capabilities, as well as opportunistically adding bolt-on acquisitions. We will continue to return cash to share shareholders. There are regular quarterly dividend payments, share repurchases, and annual variable special dividends. In the third quarter, we repurchased approximately $75 million in shares. Future returns of cash to shareholders will be based on cash flow generation, our investment needs, which includes capital expenditures and acquisition opportunities, as well as our market outlook. Other details for the quarter included losses on sales and receivables associated with a receivable financing facilities, which are included in other expense net were approximately $7.4 million for the quarter compared to $6.1 million in the same period last year. Turning to our full year forecast, our 2021 outlook for the three major regional markets is captured on Slide 10. We maintained our market forecast for all regions as we believe production constraints will limit further retail demand upside. In North America, higher commodity prices and improved farmer sentiment is expected to result in increased 2021 sales. Replacement demand for aged fleets of larger equipment is expected to drive most of the increase. Demand for smaller equipment is expected to be more stable after several years of increasing demand. We project North American industry unit tractor sales to be up approximately 20% in 2021 compared to 2020. European Union farm economics have remained supportive in 2021. Higher commodity prices are expected to support healthy demand from the arable farming segment. Milk prices remain above the 10-year average and economics are also positive for dairy producers. Western Europe industry demand is expected to remain strong and grow approximately 10% in 2021. Elevated commodity prices and favorable exchange rates are expected to support additional growth in South America during 2021, as farmers continue to replace aged equipment. In total, industry demand in South America is expected to improve about 15% from 2020 levels. Slide 11, highlights the assumptions underlying our 2021 outlook. Our priorities continue to be maintaining a safe working environment for our employees, and providing proactive support to our customers and our dealers. In addition to focusing on meeting the robust end market demand, we also make significant investments in development of new solutions to support our Farmer First strategy. AGCO's results are expected to be heavily influenced by supply chain performance for the balance of the year. Our outlook is based on current estimates of component deliveries. AGCO's results will be impacted if the actual supply chain delivery performance differs from these estimates. Our sales plan includes price increases approximately 5.5%, aimed at offsetting higher material cost inflation during 2021. At current exchange rates, we expect currency translation to positively impact sales by approximately 2%. Engineering expenses are expected to increase by $50 million to $60 million on a constant currency basis compared to 2020. The increase is targeted at investments in smart farming and precision ag products, as well as to continue a rollout of our platform designs. Operating margins are expected to be up 150 basis points from 2020 levels, driven by higher sales and production, favorable pricing, net of material costs and productivity actions, partially offset by increased investments in smart products in our digital initiatives. We are targeting an effective tax rate ranging from 27% to 29% for 2021. Slide 12, list our view of selected 2021 financial goals. The ability of our company's supply chain to deliver parts and components on schedule is currently difficult to predict. Falling outlook is based on AGCO's current estimates of component deliveries. Our results will be impacted if the actual supply chain delivery performance differs from these estimates. We are projecting sales to be in the $10.9 billion to $11.1 billion range, with 2021 earnings per share targeted in a range of $8.75 to $9 a share. We expect capital expenditures to be approximately $300 million and free cash flow to be in the $200 million to $300 million range. With that, I'll turn the call back over to Greg.
Greg Peterson: Thanks, Andy. And this morning, as we move into the Q&A section, we ask that you limit yourselves to one question and one follow-up, so that we can expand participation. Shelby, why don’t you get it started?
Operator: [Operator Instructions] Your first question is from Joel Tiss of BMO.
Joel Tiss: Wow, I never get to be first. I just wondered, it seems like the supply chain issues or the deliveries from your suppliers have been kind of more week to week. You'll have a good week and get a lot of stuff and the next week maybe won't be so good. And it seems like you feel a little more strongly with your changed guidance that it's going to get lumpier or it's going to get a little bit less reliable. Can you give us a little bit of insight into what you guys are seeing, what's changed? Thank you.
Eric Hansotia: That's a good read on it. First of all, thanks for the question. It’s the heart of today's topics, that's really the situation. A quarter or two ago, we expected that by this time the supply chain would be healthier than we are seeing it actually to be. And so over that time, the overall supply chain has gotten very lean, essentially, hand to mouth. So any disruption now is causing problems. And we have seen an increased rate of issues over the last few weeks, where a lot of them are semiconductor chip related. But not only those things, there's still issues with tires, plastics, freight and other things. It's the same issue here, this is not unique to our company. It's not unique to our industry. It's hitting all industries. It's the same thing we're hearing inside the company as you're reading in all the news journals outside the company. So yes, it is more severe than we would have predicted a while ago. It's fairly broad based and that's why we took the actions we did in terms of guidance.
Joel Tiss: Okay. And if I'm allowed a quick follow-up, I just wanted to ask Andy, with only two months left in the year, how come we have such a wide range on the tax rate? And then I'll go away. Thank you.
Andy Beck: Well, the tax rate really is driven by profitability. And so, given the range of profitability that we're talking about, we're sticking with that wide of a range. So, I think we'll be able to get within that. But, that's typically why we give such a wide range.
Operator: Your next question is from Stephen Volkmann of Jefferies.
Stephen Volkmann: Great. Hi, guys. I'm curious, I guess sort of in the third quarter, do you have equipment that's sort of parked and waiting for parts but pretty much ready to go that can shift as we move forward?
Eric Hansotia: Yes, we have actually thousands of machines that have been built and waiting for one to two components, and then ready to invoice to farmers. The big picture here, we have a tremendous order bank. We have six to nine months of orders on average, in some cases much more than that, in some cases we’re sold out for next year. We have very strong market demand. We have strong pricing power in the marketplace to handle the inflation situation that we have been under, and we forecast to be under. It's really about the supply chain bottlenecks that we're dealing with. And we feel they're particularly acute right now. And we anticipate that those will ease over time. It's an unpredictable environment we're in at the moment.
Stephen Volkmann: Okay, great. And that was a perfect setup, actually, Eric, because with so much backlog into 2022, what should we be thinking about in terms of the price impact in ‘22? You probably have pretty good visibility there.
Eric Hansotia: Yeah, Steve, we're still obviously making estimates of what we think pricing will require next year, first of all, to cover the inflationary costs and the carryover of the inflation that we're experiencing right now, along with, what the market demand is going to be, what pricing can we can we achieve. This year, as you see in our comments that we're expecting pricing to be about 5.5%, I would see pricing next year to be at least in that range as well.
Operator: Your next question is from Courtney Yakavonis of Morgan Stanley.
Courtney Yakavonis: Hi, good morning, guys. Just wondering if you can just comment a little bit on, how the supply chain issues are comparing globally? You're calling these out and you beat most of our margin assumptions for the rest of the world aside from North America. So is this a North America isolated issue? Or, is that just more reflective of GSI? What we're seeing in margins there? Just any comment on how it's impacting your production globally?
Eric Hansotia: Yeah, I think there's actually a couple of questions embedded in your question, so I'm going to peel those apart a little bit. One is supply chain disruptions in terms of material flow is not a North America topic. It's hitting us in all regions, perhaps most acutely in Europe. But it's a challenge all over, especially because we have a global supply base. So supplier may be located in one region, but supporting factories in multiple regions. So disruption in terms of flow is global. Then the second point in your question was about GSI. The second issue is component pricing. And because GSI uses so much steel, that's why Andy called it out as they are getting hit by the inflationary impact of steel, which is up between 50% and 150%, depending on where it is. And that's where margins are challenged within GSI this year.
Courtney Yakavonis: Okay, great. That's helpful. And then maybe just on South America, you guys got double digit margins there this quarter. Can you help us just think about what's the right longer-term margin for that and markets, since I think we had historically thought of it as a mid to high single digit margin performer?
Eric Hansotia: Sure. Yeah, we obviously had a very strong third quarter result. We had margins up, because the stronger mix or our grain and protein business, as we call it out, had a really strong quarter with good margin. So there was a number of positive things that went on in the quarter. We also still haven't really seen the biggest wave of the cost increases hit our results yet that that's coming. We expect that be part of what happens in the fourth quarter where that high inflationary cost will hit the South America results a little more. So, for the full year, we're looking at our margins in South America to be between -- in about the mid 7%. And so I think that's a good target for us for the future. What we've said before is that we don't see South America needing to -- we think it should be within the corporate average of our margin. So we would expect to drive margin improvement going forward like we expect in the rest of our business.
Operator: Your next question is from Kristen Owen of Oppenheimer.
Kristen Owen: Great, thank you. Good morning. I wanted to follow-up on the GSI commentary. There's obviously some strong seasonality to that business and in the third quarter. But can you just parse out or put a finer point on the profitability impact on the quarter? And talk about just where the backlog stands in that business today?
Andy Beck: You are you right. The GSI business is typically strongest in the second and third quarters of the year. So we've had sales increases, as we talked about sales were up 9% or so in the third quarter, up close to 20% for the year-to-date. We would expect their sales to be up probably 15% to 20% for the full year. Our margins are going to be either in line or slightly below last year, all because of what Eric discussed in terms of the surging steel prices. And we've had some of those orders that would fulfill this year. We’re locked in and we couldn't raise the price and so we have somewhat of a mismatch between the timing of these cost increases hitting us and the pricing. And so we think that third quarter is kind of the worst that we'll have on that, and it'll start to be better in the fourth quarter and as we move into 2022.
Kristen Owen: Great. Thank you for that. And as my follow-up, if I could just summarize, the changing guidance is really about changing timing of deliveries, not demand destruction. You've talked about the favorable farm income backdrop, but we've certainly seen some of the impacts of higher input costs on farm sentiment. So can you help us square the circle there and talk to us about what you're hearing from your dealers, and any potential for mix shift or precision application uptake? Thank you.
Eric Hansotia: Okay, there's a couple of questions embedded in there, too. So let me address them separately. The first one was about demand. Absolutely, I want to underline, we have extremely strong farmer sentiment, leading to extremely strong demand, which has provided a huge order bank, the highest in the company's history. So the demand is absolutely strong. In addition to that demand, we've got strong pricing power. We have had, and we expect for it to continue. The demand in the marketplace is strong and is able to -- they understand the situation. We anticipate that it's going to continue forward. We watch our order rate and it has not slowed down a bit yet. So that's [indiscernible 0:30:18.6] the demand side. The guidance is all about our ability in the short-term to build all the orders. We're building as fast as we can. But that's the situation. Then you also asked about precision ag. In laying on top of the general strong market is a real success story around AGCO's precision ag business. The general business is up 24%, but inside of that is a precision ag business that's up 33%. Our smart planter rows are up 42%. Our ideal combines are up 80%. And you've seen us announced the acquisition of a couple precision ag companies one in the protein segment, and one in the harvesting business. This is an area we continue to invest in, and we're seeing successes from those investments in the eyes of our farmers. They like the technology, they see a real profit benefit to their operation. So, I hope I touched on all the answers to your questions.
Operator: Your next question is from Larry De Maria of William Blair.
Larry De Maria: Okay, thanks. Good morning, everybody. I guess, you noted this price increases coming and you hope to have I think similar level next year. But you already have half the year booked and you're sold out for some stuff, as you noted. So all else being equal, can we still expect pretty decent margin expansion next year? Or is backlog not priced for today's material costs and we have to have further actions on the backlog to catch up maybe in the second-half?
Eric Hansotia: Yeah, Larry, that's a very natural questions. And let me explain how we're thinking about it. First of all, we have two different kinds of orders. One is a retail order that's got a farmer name on it. And the other kind of order is a dealer stock order that they would buy a machine to put it on their lot to be sold later on. We are treating those two different orders differently. The dealer stock orders or a wholesale order, we are not price protecting. And we are taking them in, but not confirming them, meaning we have some flexibility on timing and on pricing conditions. In some situations, we may also apply surcharges, things like freight and other things to the order bank. Those are some of the elements. But they're in addition to the just the general order bank, as we carefully monitor the pricing in the order bank compared to the expected inflation in the order bank. And we feel that we're staying ahead of cost with the pricing that's in the order bank that we have today, while retaining some of the flexibility to the tools I've talked about. And maybe last comment, in South America where the inflation rate is the highest, costs are moving faster there. We only open up orders about one quarter at a time. So we’re now order opening up quarter one to receive orders and then we'll fill up that order slot, such so that we don't get too far out in front of the headlights in the most volatile market.
Larry De Maria: Okay, thanks very much for that. And if I could ask a follow-up, you called our market share gains, which you can do every quarter. But are there any specific areas where material full year improvements mean ideal sub 80%, but with the material to the overall industry market share is unclear. And does the deer strike have any impact on how you're thinking about going after customers? And I'll leave it there. Thanks.
Eric Hansotia: Yeah, I think where we're gaining market share is likely more in North America right now especially in large ag. And then, let me see what was the second question -- in precision planting is certainly growing. Our precision ag business and North America is where we're having our largest success. And then there's a second-half of his questionnaires.
Andy Beck: Deer strike.
Eric Hansotia: Deer strike. Thank you. Yeah. I'll leave that for them to comment on. I'll just say a couple of brief discussion is that, at this point, it's only been a strike for a few days. The last one, I think that they had was back in 1986. That one lasted 163-days. But that was in a very different market condition. If it lasts a short amount of time, then I don't think there'll be a material impact. If it lasts long time, then there certainly would be. But I'll leave that to them to comment on.
Operator: Your next question is from Nicole DeBlase of Deutsche Bank.
Nicole DeBlase: Yeah, thanks. Good morning, guys. Maybe first just starting off with what you're seeing from a pricing perspective relative to costs. I think you guys mentioned that you were still price cost positive in the third quarter, if you could confirm that? And is the expectation that in 4Q, you'll be price positive? And if you think about the carry forward of both inflation and pricing into 2022, is that also the case?
Andy Beck: So in terms of this third quarter, we were slightly positive. And in the fourth quarter, I think it will be fairly neutral. What that does is result in a little bit of a margin deterioration when it's that tight. So we typically want to see a wider range there. But right now, what's happening is because of some of these orders that we price protected and locked in, we can't get the same amount of pricing as what we're seeing in terms of cost increases. So that is affecting our margins here in the third and fourth quarter a little bit. But overall, in terms of dollar coverage, pricing over costs will be fairly neutral in the fourth quarter. And as Eric mentioned, we've got some levers that we can pull going forward in the next year to get more pricing even within the current order board. There is a big carryover of pricing and cost and we would expect that -- we've got a lot of work to do to finalize our plans for next year. But, our intention is to make sure that that pricing is covering all the costs.
Nicole DeBlase: Okay, got it. Thanks, Andy. And then, you responded Courtney’s question on the outlook for South America margins for the year. Can you also give us a sense of what you're thinking within the context of the full year guidance for North America and for Europe?
Eric Hansotia: Yeah. So Nicole, for North America, we're looking at margins in the 6% to 7% range for the full year. So that implies a nice -- I'm sorry, closer to. We're looking at 10% roughly for North America, which implies a nice step up in the fourth quarter, closer to 7% or 8%. For Europe, we're looking somewhere between 11.5% and 12% for the full year, which takes into account some headwinds in the fourth quarter, because of higher engineering expanse and some of that material inflation that Andy talked about. Our Asia Pacific margins look to be in kind of low to mid 10s for the full year, which is about 150 basis points of improvement. And that also implies some cost headwinds in the fourth quarter.
Operator: Your next question is from Jamie Cook of Credit Suisse.
Colton Zimmer: Hi, good morning. This is Colton Zimmer on for Jamie. Thank you for taking our questions. We were wondering if you could just give an update on some of the strategic initiatives you laid out at the Analyst Day. So, where is market share for the product line? How has that kind of trended relative to your expectations? And then also, if you could just comment on the order book for some of the higher margin products that you outlined at the Analysts Day? Thank you.
Eric Hansotia: We’re really pleased with how the strategy is being implemented. All the initiatives that we talked about at the Analyst Day are on track. We highlighted some of our growth businesses, those are all growing nicely. We're continuing the trend we had from 2020, where North America large ag and growth, service parts and precision planting are all growth engines. And we intend to continue to invest to make them grow sustainably. And then we've got some improvement businesses. South America, Massey Ferguson and you're seeing the results there. Three, four years ago, we were losing money in South America. And now, the questions about today are, are we going to be above 10%? Certainly, target for all of our businesses to be above 10% in the mid-term. So we are very happy with how the strategy is coming together. And we feel like both growth businesses and improvement businesses are on track.
Colton Zimmer: Thank you.
Operator: Your next question is from Ross Gilardi of Bank of America.
Ross Gilardi: Good morning, guys. I think your new guide implies that margins are down year-on-year in the fourth quarter, and just how many quarters of [indiscernible 0:40:06.6] do you anticipate? The way it stands now, does it feel like your margins will be down in the first-half of ‘22?
Andy Beck: Well, we've got a little margin, as you point out, planned for Q4. We don't have any real guidance yet to give you on 2022. I think it's going to be an assessment based on how strong the demand is. And Eric's already kind of covered that. And then, what our supply chain capabilities are. And so we're still working through that. Again, our long-term ambition is to grow margins, grow these strong margin products. And, that'll be a goal for next year as well.
Ross Gilardi: Andy you need to see real improvement in supply chain to have margins up in the first-half of next year? Or, is it more really more of like a just a timing issue with incremental price and so forth?
Andy Beck: Yeah. There's a growth opportunity if we can get the supply chain ramped up, because we do have such a strong order board. And then, the other factors you mentioned is, how much of this cost wave that's coming? How does that match up with the pricing that we can implement? And so those are the key things that we'll be looking at to try to building your question. I can't really answer it today. But, our intention, obviously, again, is get that pricing and get it robust enough to cover these costs and to get margin improvement.
Ross Gilardi: Okay. Thanks a lot.
Operator: Your next question is from Jerry Revich of Goldman Sachs.
Ashok Sivamohan: Hi, this is Ashok Sivamohan on for Jerry Revich. I understand you're not providing guidance on year-over-year margin trends, but I'm wondering if you have any thoughts on the margin cadence versus normal seasonality. Do you think we can expect normal seasonality next year in terms of the quarterly margin cadence?
Andy Beck: Well, I think there's nothing unusual to happen here and in 2021, like ‘20, where we had these products big long disruptions in the production that caused ‘20 to be kind of unusual year. ‘21 is more normal seasonality. But again, there are these supply chains constraints. And so that will be kind of the part that we really continue to need to factor in and to understand, what is our production going to be, how much products are we able to ship each quarter? And so, we're looking at that right now, obviously, focused near-term on what we can achieve this quarter. But we're also working on plans to try to improve the situation going forward as well.
Ashok Sivamohan: Okay. And you mentioned the thousands of machines waiting on one or two components. I'm wondering if you're able to quantify the margin impact based on these manufacturing inefficiencies.
Andy Beck: I really can't. There have been inefficiencies in our production, because again, as you just pointed out, you run the equipment down the line, and then you have to go touch it again and put new components on. And so that takes us an extra amount of cost and labor to be able to achieve that. And we're seeing that, and we expect some of that -- we've seen it in the third quarter and we expect to have some of that in the fourth quarter, as well. So, we're certainly not running as efficiently as normally we would. And, this environment is causing us to be much more inefficient than normal. It's not the highlight of the quarter or anything like that. It's not causing huge amounts of additional cost, but it is adding up.
Eric Hansotia: And everybody in our industry is facing the same thing. We've been in the situation ever since COVID hit. Everybody's been challenged with that. And we'll be in it for a while yet until the supply chain smooths out.
Ashok Sivamohan: Okay. Thanks for the color.
Operator: Your next question is from Adam Uhlman of Cleveland Research.
Adam Uhlman: Hey, guys, good morning. I wanted to ask about demand trends in Europe. We've seen fertilizer costs spike over there, and frankly, here in North America as well. I'm wondering how you're thinking about that, and how that might impact equipment demand at all?
Eric Hansotia: Yeah, so fertilizer is tied to energy. And energy prices, especially in Europe -- energy prices have gone up everywhere, but in Europe most acutely. And so, that's why you're hearing a lot of talk, especially from our European farmers about that challenge. But even in North America, people are, farmers are to some extent hoarding or pulling ahead seed and fertilizer purchases because of their concern of both pricing and availability. So that may cool things off a little bit, which in the end may be a good thing. It could make this demand cycle less spiky and spread it out over a longer timeframe. But it's so unpredictable at this stage, it's hard to give you an exact shape of what's going to happen. We think that it's a real pressure on farmers. And it may slightly cool their demand and spread it out over a longer period.
Adam Uhlman: Okay, got you. And then just a clarification, I think it was mentioned that retail sales were lower in Germany and France this quarter. I assume that it's the delayed shipments, but maybe something else is going on there. Could you share what you're seeing in the industry stats?
Andy Beck: Sure. Keep in mind, you have to first go back and remember what last year was like in the third quarter. So we had those production shutdowns in the second quarter and then we were up in the third. And we actually had our normal shutdown periods, in the third quarter we were producing last year. So for that reason, it was kind of a catch up period. So the market was delivering a lot of product last year. This year, we're kind of in a normal shutdown period. We do have the supply chain issues and so that did affect the overall markets in France and the UK. France was up slightly for the industry, Germany was down. And so that affects us because those are two important markets for us, but I think it was more timing of shipments more than overall kind of inherent demand.
Operator: Your final question is from Chad Dillard of Bernstein.
Chad Dillard: Hi, good morning, guys. I just wanted to follow-up on production shut down. And just wanted to understand whether in the fourth quarter in your guidance, if any, are baked in outside of the typical holiday shutdowns? If so, how much? And maybe if you can just talk about what if any impact there is from an absorption perspective?
Andy Beck: So, we're really not cutting production too much, because of these supply disruptions. As we mentioned, we want to still utilize as much of the production capabilities we have. So we're going to run equipment down the line, if possible, and wait for those final components. So there's probably some assembly hours we've taken out, but a lot of fabrication and other aspects are still planned to be done in the fourth quarter. So that's one of the reasons why our inventory is up in the fourth quarter from what we said before. So, there is some impact to our production levels, but not a significant amount. It's just more timing of when we can get the unit shipped.
Chad Dillard: Okay. And then, maybe if you could give us some early thoughts on just how you're thinking about the farm economics, equipment demand based on what you're feeling, hearing from dealers in North America and South America between two?
Eric Hansotia: Yeah. So farmer sentiment is still very strong. When you take a look at commodity prices, they aren't at their peak level that they were at spring, but when you look at them relative to the last several years, they're still extremely strong in all cases. And that is projected to stay strong for quite some time. The carryover inventories are in a position where it's somewhat predictable what those commodity prices will be. So farmers, and then you combine that with the fact that we're still exiting a period of pent-up demand, where the farmers had restricted the amount they bought for the last several years. And so they're wanting to refresh their fleet as soon as they're able to afford it, and they're able to afford it right now. So you've got that situation combined with the fact that dealer inventories are lower now than they were for the last several years, and in some cases lower than we've ever had them. So you've got a farmer interest and demand situation, you've got a thin pipeline between us and the farmers. And then a commodity grain situation that makes it somewhat sustainable. Having said all that, we're in an unpredictable, uncertain time period, in terms of what happens week to week, month to month. How it all plays out exactly is hard to predict because of the supply situation. So that's the main summary of where we stand right now.
Operator: There are no other questions in queue. I'd like to turn it back to Greg Peterson, for any closing remarks.
Eric Hansotia: I'll go ahead and just wrap up and then turn over to Greg. Appreciate all the questions today. We are very happy with the three quarters of performance for the year. We saw we've returned in a strong quarter three and we're sitting on top of a very strong order bank, strong pricing power. We’re arm and arm with our dealers managing through this situation with our farmers to keep farmers farming. And we have a strong market in front of us with very lean inventories in the pipeline in the marketplace. We're managing through the supply chain. This is a situation not specific to AGCO, not specific to the ag industry, it’s hitting all sectors. What we're hearing inside the company is the same thing you're reading about across all the industrials. And because of that, it's getting a lot of attention from governments, from private industry and so on to solve these problems, solve these bottlenecks and get more capacity flowing more efficiently. That's why we have confidence and expectation that this will get solved and we will be able to get the product our customers are demanding to them. Challenge is, is just predicting with the amount of uncertainty exactly how that will play out, and so that's why we've signaled our guidance for the quarter. But big picture, we've got a very strong situation for the company overall. Thanks for your investments in the past and your questions for today. I’ll turn it over to Greg.
Greg Peterson: Thank you, Eric. And we appreciate your participation today, and encourage you to follow-up with us later if you have remaining questions. Thank you.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.